Operator: Greetings, and welcome to the Huntington Bancshares' Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference call over to your host, Mark Muth, Director of Investor Relations.
Mark Muth - Huntington Bancshares, Inc.: Thank you, Michelle, and welcome. I'm Mark Muth, Director of Investor Relations for Huntington. Copies of the slides we'll be reviewing can be found on the IR section of the Huntington website, www.huntington.com. This call is being recorded and will be available as a rebroadcast starting about one hour from the close of the call. Our presenters today are Steve Steinour, Chairman, President and CEO; and Mac McCullough, Chief Financial Officer. Dan Neumeyer, our Chief Credit Officer, will also be participating in the Q&A portion of the call. As noted on slide 2, today's discussion, including the Q&A period, will contain forward-looking statements. Such statements are based on the information and assumptions available at this time and are subject to changes, risks and uncertainties, which may cause actual results to differ materially. We assume no obligation to update such statements. For a complete discussion of the risks and uncertainties, please refer to this slide and material filed with the SEC, including our most recent Forms 10-K, 10-Q and 8-K filings. Let's get started by turning to slide 3 and an overview of the financials. Mac?
Howell D. McCullough III - Huntington Bancshares, Inc.: Thanks, Mark, and thanks to everyone for joining the call today. As always, we appreciate your interest and support. We are pleased with our third quarter financial performance including record net income for the second consecutive quarter, completion of the fiscal integration of FirstMerit, and substantial progress in the cultural integration of the two organizations. In addition, we incurred the final charge for the integration of FirstMerit in the third quarter of 2017. So, let's get started by turning to slide 3 to review third quarter results. Please keep in mind that year-over-year comparisons are impacted by the inclusion of FirstMerit as the acquisition closed during the third quarter of 2016. Huntington reported earnings per common share of $0.23 for the third quarter of 2017, up 109% over the year-ago quarter. This is inclusive of $0.02 per share of significant items related to the FirstMerit acquisition. Also including the impact of the significant items, return on assets was 1.08%; return on common equity was 10.5%; and return on tangible common equity was 14.1%. Our reported efficiency ratio for the quarter was 60.5%. However, net acquisition related expense added 2.8 percentage points to the ratio. Adjusting for the significant items, the adjusted efficiency ratio was 57.7%, and this reconciliation can be found on slide 20. Tangible book value per share increased 6% from the year-ago quarter to $6.85, and was up 2% sequentially from the second quarter. Consistent with our 2017 CCAR submission, last week, the board declared a dividend of $0.11 per share, a $0.03 or 38% increase from the $0.08 per share in the prior quarter. During the third quarter, we also repurchased $123 million of common stock, representing 9.6 million shares at an average cost of $12.75 per share. Turning to slide 4, which shows a summary of the income statement, total revenue was up 17% from the year-ago quarter. Net interest income was up 21% year-over-year due to the 17% increase in average earning assets primarily reflecting the addition of FirstMerit, and an 11 basis point increase in the net interest margin. Noninterest income increased 9% year-over-year. We continue to see good growth in service charges on deposit accounts and card and payment processing revenue, both of which reflect the impact of FirstMerit as well as organic customer acquisition and increased debit and credit card activity from existing customers. A record quarter in capital markets fees was driven by strong execution of our strategic focus on expanding the business and deepening commercial relationships. Noninterest expense decreased 4% year-over-year. Significant items both for 2017 and 2016 third quarter expenses. For the third quarter of 2017, acquisition-related expense totaled $31 million. Adjusted noninterest expense in the third quarter grew $97 million or 18% from the year-ago quarter, primarily from the inclusion of FirstMerit. Compared to the second quarter of 2017, adjusted noninterest expense increased $6 million or 1%. The third quarter of 2017 included approximately $12 million of nonrecurring expense not included in the significant items for the quarter. This $12 million of expense related to personnel, operational and efficiency improvement efforts, and certain expenses associated with the previously announced consolidation of 38 traditional branches, seven drive-through locations, and three corporate offices late in the third quarter of 2017. For a closer look at the details behind these calculations, please refer to the reconciliations contained on page 19 of the presentation slides or in the release. Slide 5 illustrates that we are well on our way to delivering positive operating leverage again in 2017. You are accustomed to hearing us talk about this every quarter stressing how important annual positive operating leverage is to us as a company. We remain confident that 2017 will be the fifth consecutive year of positive operating leverage. Slide 6 illustrates our balance sheet trends. Average earning assets grew 17% from the year-ago quarter. This increase was driven primarily by a 31% increase in average securities and a 12% year-over-year increase in average loans and leases. The increase in average securities reflected the addition of FirstMerit's portfolio; the reinvestment of cash flows, including the proceeds of the auto securitization in the 2016 fourth quarter; and additional investments in LCR ratio Level 1 qualifying securities. During the third quarter, average loans increased 1% compared to the prior quarter. As you have come to expect from us, we remain disciplined in our approach to the extension of credit. To emphasize this point, loan originations for each of the last three quarters were lower than our 2017 budget expectation. However, we more than made up for lower loan volumes through disciplined pricing, resulting in net favorability to year-to-date core net interest income. As Steve will elaborate on later in the presentation, we have reduced our period-end loan growth guidance for 2017 to a range of 3% to 4%. This new guidance assumes that we will not execute an auto securitization in 2017. As competition for loan growth continues to intensify, particularly on the commercial side, we are very pleased that the option to retain more of our high-quality auto loan origination volume as an earning asset substitute until we see competition in the commercial space become more rational. At quarter end, our indirect auto portfolio concentration represented 123% of Tier 1 capital plus ACL. This is just below our operating guideline of 125%, but still well below our concentration limit of 150%. Based on our current expectations, we have capacity for continued growth of the portfolio into mid-2018 while remaining below our 125% operating guideline. As you know, our auto loans are the best-performing loan category in our CCAR stress testing, and we originate the hold. So, we are very comfortable carrying on our balance sheet as opposed to chasing riskier loan growth elsewhere. We also like the effective duration and the risk return profile of these loans relative to alternative investment securities. Average C&I loans increased 11% year-over-year, primarily reflecting the FirstMerit acquisition as well as increases in core middle market, the specialty lending verticals, business banking, and auto floor plan. As we have seen throughout 2017, we continue to face headwinds in corporate banking as companies access the debt markets in order to lock-in current low rates. C&I balances were further impacted by payoffs and pay downs of certain nonperforming loans, helping to drive a 7% sequential decline in nonperforming assets. Average commercial real estate loans increased 13% year-over-year as a result of the FirstMerit acquisition. On a period-end basis, commercial real estate loans decreased 1% year-over-year. We have strategically pulled back in CRE lending, specifically in multifamily, retail and construction to remain consistent with our aggregate moderate to low risk appetite and to ensure appropriate returns on capital. Average auto loans increased 3% year-over-year, with the third quarter representing another solid quarter of consistent disciplined loan production. Originations totaled $1.6 billion for the third quarter of 2017, up 7% year-over-year. Average new money yields on our auto originations were 3.62% in the third quarter, up from 3.58% in the prior quarter, and up more than 40 basis points from the year-ago quarter. Average residential mortgage loans increased 20% year-over-year reflecting the addition of FirstMerit and continued strong demand from mortgages across our footprint. As typical, we sold the agency qualified mortgage production in the quarter and retained the jumbo (10:05) mortgages and specialty mortgage products. Turning our attention to the chart on the right side of slide 7, average total deposits increased 17% from the year-ago quarter, including a 19% increase in average core deposits. Average demand deposits increased 22% year-over-year. We remain pleased with the trend in funding mix, particularly the increase in low-cost DDA. This reflects the addition of FirstMerit's low-cost deposit base, as well as our continuing focus on checking account relationship acquisition. Moving to slide 7, our net interest margin was 3.29% for the third quarter, up 11 basis points from the year-ago quarter. The increase reflected a 26 basis point increase in earning asset yields and a 4 basis point increase in the benefit of noninterest-bearing funds balanced against a 19 basis point increase in the cost of interest-bearing liabilities. On a link-quarter basis, the net interest margin decreased by 2 basis points driven by a 3 basis point improvement in earning asset yields and a 2 basis point increase in the benefit of noninterest-bearing funds, partially offset by a 7 basis point increase in the cost of interest-bearing liabilities. The increase in funding cost was more heavily weighted to wholesale funding as we continue to remain pleased with our ability to successfully lag deposit pricing, especially on consumer core deposits where the rate increased 1 basis point sequentially. Purchase accounting contributed 12 basis points to the net interest margin in the third quarter, down from 15 basis points in the prior quarter. After adjusting for this impact in all quarters, the Core NIM was 3.18% compared to 3.16% in the prior quarter and 3.06% in the third quarter of 2016. As I just mentioned and calling your attention to the orange line, at the bottom of the graph on the left, our cost of consumer core deposits was 22 basis points for the third quarter. This represents a 4 basis point increase over the year ago quarter and a 1 basis point increase sequentially, illustrating the strong consumer core deposit base we enjoy and our ability to successfully lag deposit pricing. We have seen consumer and small business deposit pricing remain relatively steady in the face of recent fed interest rate hikes. While the majority of pricing pressure has been limited to government banking, corporate banking and the upper end of middle market commercial. In the quarter, we selectively increased rates to grow and retain core deposit balances on certain corporate relationships providing better economics for the bank relative to the cost of wholesale funding. On an earning asset side, our commercial loan yields increased 41 basis points year-over-year, while consumer loan yields increased 35 basis points. On a linked-quarter basis, commercial loan yields increased 3 basis points while consumer loan yields increased 5 basis points. Security yields were up 8 basis points year-over-year and were flat for the prior quarter. Slide 8 shows the expected pre-tax impacts of purchase accounting adjustments on an annual forward-looking basis. We introduced this slide last fall and believes it is useful when helping you think about purchase accounting accretion going forward. It is important to note that the purchase accounting accretion estimates on this slide are based on current scheduled accretion and except for what we've experienced in the first three quarters of 2017, do not include in the accelerated accretion from the recapture through early payoffs or extensions in the projected periods. As we have stated previously, and it's been proven out in our result for the past five quarters, in reality, we are likely to experience loan extensions and early payoffs resulting in accelerated accretion. Therefore, you are likely to see the accretion revenue in the green bars continue to be pulled forward as modifications and early payoffs occur. Turning to slide 9, this illustrates our long-term financial goals, which were set by the board in the fall of 2014 as part of our strategic planning process. These goals were originally set with a five-year time horizon in mind, but we expect the economic benefits of the FirstMerit acquisition will allow us to achieve these long-term financial goals in the fourth quarter of 2017 run rate and for the full year 2018 both on a GAAP basis, two-plus years ahead of schedule. Year-to-date 2017 results on a reported GAAP basis reflect the cost of the ongoing integration. Adjusting for these costs, as shown on the reconciliation slides 23 and 24 in the appendix, we are already realizing the scale and financial benefits of the deal. The fourth column depicts our current expectations for these metrics for the full year 2017 also on a non-GAAP adjusted basis. I would point you in particular to our full-year expectations for the efficiency ratio and return on tangible common equity. We believe these results will distinguish our performance from our peers. We celebrated the one year anniversary of the closing of the FirstMerit acquisition in August, and slide 10 provides additional details on the cost savings and revenue synergies from the transaction. We have now fully implemented all of the $255 million of originally planned cost saves, and the primary focus of the organization is now executing on more than $100 million of revenue enhancement opportunities. Turning to slide 11. You should recognize this slide as well from our second quarter earnings call, which reiterates our $639 million noninterest expense target for the fourth quarter of 2017. With all cost savings implemented, we will deliver on our cost save commitment in the fourth quarter of 2017. The chart on the upper right details the fourth quarter run rate. The chart on the bottom of this page details the expense from implementing the revenue initiatives, specifically $37 million this year and an incremental $13 million in 2018. As I mentioned during last quarter's conference call, we expect the revenue initiatives to have an incremental efficiency ratio of approximately 50% in 2018. The incremental efficiency ratio was higher in 2017 as the ramp in revenues will naturally lag some of the up-front expense. You've also seen slide 12 before, which provides additional detail on the FirstMerit-related revenue enhancement opportunities. The bar chart on top of the slide displays our current targets for additional revenue from the initiatives. In 2017, the revenue ramp corresponds with the hiring that is necessary to increase production and grow the portfolios. For 2018, we are targeting at least $100 million of total revenue enhancements. This is a $52 million increase from the $48 million expected in 2017. Slide 13 illustrates the continued progress we've made in rebuilding our capital ratios following the FirstMerit acquisition. Common equity Tier 1 ended the quarter at 9.94%, up 85 basis points year-over-year. We have previously mentioned that our operating guideline for common equity Tier 1 is in the range of 9% to 10%. Tangible common equity ended the quarter at 7.42%, up 28 basis points year-over-year. Moving to slide 14. Credit quality remains strong in the quarter. Consistent prudent credit underwriting is one of Huntington's core principles, and our financial results continue to reflect our disciplined approach to risk management and our aggregate moderate to low risk appetite. We booked provision expense of $44 million in the third quarter compared to net charge-offs of $43 million. Net charge-offs represented an annualized 25 basis points of average loans and leases, which remained below our long-term target of 35 to 55 basis points. Net charge-offs were up 4 basis points from the prior quarter and down 1 basis point from the year-ago quarter. As usual, there is additional granularity on charge-offs by portfolio in the analyst package and the slides. The allowance for credit losses as a percentage of loans decreased 1 basis point linked-quarter to 1.10%, but the nonaccrual loan coverage ratio increased to 223% as a result of the 7% linked-quarter decline in nonaccrual loans. Overall asset quality metrics remained strong. Nonperforming assets decreased to $28 million or 7% linked-quarter. The nonperforming asset ratio eased 5 basis points sequentially to 56 basis points. The criticized asset ratio increased 14 basis points from 3.66% to 3.80%. And our 90-day-plus delinquencies declined slightly. We also continue to expect – to experience lower nonperforming asset inflows for the fourth quarter in a row. Let me now turn the presentation over to Steve.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Mac. Moving to the economy, slide 16 illustrates selective key economic indicators for our footprint. As we've noted previously, our footprint has outperformed the rest of the nation during the economic recovery of the last several years, and I remain optimistic on the outlook for the local economies across our eight states. The bottom left chart illustrates trends in the unemployment rates across our footprint, and as you can see, unemployment rates across the majority of our footprint remain near historical lows. Slide 17 illustrates trends in unemployment rates for our 10 largest deposit markets. Many of the large MSAs in the footprint remain at or near 15-year lows for unemployment at the end of August. The labor market in our footprint has proven to be strong with several markets such as here in Columbus and in Indianapolis and Grand Rapids, where we see meaningful labor shortages. We have noted previously that we're seeing wage inflation in our expense base, and our customers are too. Housing markets across the footprint continue to display broad-based home price inflation while remaining some of the most affordable markets in the U.S. Finally, we continue to see optimism across our consumer and business customer base with the consumer confidence score in our region at its highest since 2000. These economic factors support our expectation for continued economic growth across our footprint through the – though the recent translation into business investment has been somewhat uneven. Let's now turn to slide 18 for some closing remarks and important messages. With another good quarter in the third quarter, including record net income, the core franchise continues to perform very well on many fronts, and we have completed the remaining necessary integration actions for us to achieve the economics of the FirstMerit deal. We were pleased to significantly increase our cash dividend for the fourth consecutive year, and to reinstitute our buyback program. We remain focused on delivering consistent, through-the-cycle shareholder returns. This strategy entails reducing short-term volatility, achieving top-tier performance over the long term, and maintaining our aggregate moderate to low risk profile throughout. As Mac noted, the FirstMerit acquisition accelerated our ability to achieve our long-term financial goals. And with the integration substantially complete, we expect to deliver against the goal in this year as well as next year. We are set to realize our targeted $255 million of annual cost savings from the acquisition with all remaining cost savings implemented during the third quarter as originally communicated. We also continue to execute on the significant revenue enhancement opportunities including the SBA lending, home lending, and RV and marine lending expansions. Our 2017 full year outlook continues to expect total revenue growth of 23% on a GAAP basis. Consistent with our long-term financial goal, we are targeting annual positive operating leverage. Importantly, we continue to appropriately manage our expenses within our revenue outlook. We expect average balance sheet growth also in excess of 20%. We expect period end loan growth of 3% to 4% for the full-year 2017. Consumer loan growth has remained steady throughout 2017. Consistent with our experience over the past several years, we expect commercial loan growth for the remainder of the year to outpace what we experienced year-to-date. However, our commercial pipelines remained strong. However, the commercial lending environment is extremely competitive on both structures and rate. We've reduced our overall 2017 loan growth expectations from previous guidance. We're remaining discipline with our aggregate moderate to low-risk appetite, ensuring appropriate returns on capital. Finally, we expect asset quality metrics to remain near current levels including net charge-offs remaining below our long-term target of 35 to 55 basis points. Now, I'll turn it back over to Mark, so we can get to your questions. Mark?
Mark Muth - Huntington Bancshares, Inc.: Michelle, we will now take questions. We ask that as a courtesy to your peers, each person ask only one question and one related follow-up. And then if that person has additional questions, he or she can add themselves back into the queue. Thank you.
Operator: Thank you. Our first question comes from the line of Scott Siefers with Sandler O'Neill & Partners. Please proceed with your question.
R. Scott Siefers - Sandler O’Neill + Partners LP: Good morning, guys.
Stephen D. Steinour - Huntington Bancshares, Inc.: Hi, Scott.
Howell D. McCullough III - Huntington Bancshares, Inc.: Hi, Scott.
R. Scott Siefers - Sandler O’Neill + Partners LP: Mac, I had a quick question, just on the – holding relatively more auto than you might have, where the commercial environment not as it is. So, just first, can you walk through any margin ramifications of putting on auto versus what it would been had C&I been playing out as expected? And then, did pricing in the – either sale or securitization market, did that have anything to do with the decision to keep on balance sheet?
Howell D. McCullough III - Huntington Bancshares, Inc.: Yeah. Thanks, Scott. So, yeah, I would tell you that there really wasn't any consideration given the pricing and the securitization market. As I've said historically, I do think we always give up economics when we securitize, like having these assets on our balance sheet because of their performance through the CCAR process, as well as the risk adjusted yield that we get on the auto book. I would tell you that any margin impact on a go-forward basis is immaterial relative to C&I loan growth. We feel comfortable with the returns that we get on the auto book, and we are well within the operating guideline even through mid-2018. So, we're prepared to be able to do that, and we're very comfortable keeping the assets.
R. Scott Siefers - Sandler O’Neill + Partners LP: Okay. Perfect. Thanks. And then, can you just remind me, you guys don't pop the marine and RV into the concentration limits, right, like your limit is auto specifically as opposed to all indirect. And then, along those lines, what is the opportunity you guys see on like marine and RV and how's the pricing there vis-à-vis auto or other indirect portfolios?
Daniel J. Neumeyer - Huntington Bancshares, Inc.: Okay. Hey, Scott. This is Dan. So, you're correct. The auto concentration limit is just for auto. We have a separate limit for boat and RV. And we really like the boat and RV book. We think that is a real plus that we picked up through the acquisition, a business model and a team that are very skilled. We've supplemented that with external hires who have experience in the business. The profile of our customer there is very strong, FICOs of 790 to 795. The asset size of the boats and RVs that they're purchasing is in a range we're very comfortable with. We're talking $75,000 average size of the vehicle. These tend to be experienced boat and RV owners. And given that profile, the returns are strong as well. So, just on the whole, very nice asset class for us.
R. Scott Siefers - Sandler O’Neill + Partners LP: Okay. All right. That sounds great. Thank you, guys, very much.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Scott.
Operator: Thank you. Our next question comes from the line of Ken Usdin with Jefferies. Please proceed with your question.
Kenneth M. Usdin - Jefferies LLC: Thanks, guys. Thanks for clarifying that $12 million in the third quarter. So, the question about forward expenses, the $639 million run rate that you've held to now, can you just help us think about what that means as a starting point going forward? And is there anything else that you're contemplating to continue to hold up a gap on operating leverage in addition to the cost saves you've seen already?
Howell D. McCullough III - Huntington Bancshares, Inc.: So Ken, it's Mac. So, as we've stated in the press release and in the scripts, we're very comfortable achieving the $639 million target in the fourth quarter. I think if you adjust for the $12 million in the third quarter, you can see that, pretty much already there. And we've talked about what that means on a go-forward basis. Clearly, we've got opportunity to recognize the full amount of the cost save in 2018 because we did not recognize the full cost save for full year 2017. So we do expect to recognize some of that benefit going forward as well. And back on operating leverage, we are committed to positive operating leverage. This will be the fifth year in a row that we're going to achieve it. This is an important goal for us, and we build our plan every year understanding what the revenue opportunity is, thinking about basically a flat rate environment and then building our expense base to provide positive operating leverage on a go-forward basis. So, very committed to that objective and feel confident that we're going to deliver that.
Kenneth M. Usdin - Jefferies LLC: Okay. And my second question is, this is the second quarter in a row where you have not built the provision on top of charge-offs. As you had indicated, you would've been doing post-merger as loans move from the FirstMerit book into the regular way book. Is that now a thing of the past or are we now matching from here provisions and charge-offs? And what would change from here, if not?
Daniel J. Neumeyer - Huntington Bancshares, Inc.: Yeah. This is Dan. So, I think what you've seen the last couple of quarters is not what you would expect on a go-forward basis. There are a lot of factors at play when we look at the ACL in a given quarter. We have been aided recently by a big reduction sequentially in our NPAs. I don't expect that type of reduction to continue. So, that has certainly contributed. Those are loans that would have large reserves attached to them. And I think at 49 basis points of non-accrual loans, that certainly is below what we would expect even in these times. And so, I think that's a factor we have to take into account. So, as I referenced last quarter, I think the way to think about provision on a go-forward basis is covering charge-offs plus some addition for growth. So, I think what you've seen the last couple of quarters is not – that is not the norm and not what you should expect on a go-forward basis.
Kenneth M. Usdin - Jefferies LLC: Just a quick clarification there then, Dan. NPAs might not be going down, but what would be replacing the charge-offs in terms of what's underlying? There's positive trends in delinquencies and all the back stuff. So, why would you see any inflection on even the charge-off side?
Daniel J. Neumeyer - Huntington Bancshares, Inc.: Yeah. Well, I think there's going to be movement from quarter-to-quarter, and I think we've had some very positive movements. We've said – over time, we do expect – we've been operating below our long-term goal on charge-offs for quite some time, and I think very gradually we are going to see that drift upwards. So, I think that's another element at work here.
Kenneth M. Usdin - Jefferies LLC: Okay. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Jon Arfstrom with RBC. Please proceed with your question.
Jon Arfstrom - RBC Capital Markets LLC: Hey. Thanks. Good morning.
Stephen D. Steinour - Huntington Bancshares, Inc.: Hi, Jon.
Howell D. McCullough III - Huntington Bancshares, Inc.: Hey, Jon.
Jon Arfstrom - RBC Capital Markets LLC: Hey. Maybe, Steve or Dan, a question for you on some of your commercial lending comments. Can you just maybe give us an idea of where and what is bothering you, is it large corporate middle market, is it linked into small business and then what you think might change that environment? Is that something you expect to improve at all next year?
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Jon. This is Steve. We have had a good year in terms of consumer loans, mortgage, home equity, RV/marine, auto, across the board. So, we're running sort of spot year-to-date, 7% to 8% on that combination of the portfolio. So, that has shown a consistency quarter-to-quarter and good performance. Our middle market lending has grown year-to-date, up 2% to 3%. So, what we've been fighting is headwinds coming off of our large corporate. And it's essentially a combination of fixed income activity, and there's a little bit of upsizing on a dynamic that's been new this year where the number of banks involved in certain relationships are being reduced just so the cross-sell can be provided. I'd add to that that market in particular has gotten extraordinarily competitive, terms, rates, et cetera. And so, to some extent, we have backed out of that in ways that we might not have – in ways we wouldn't have previously. Finally, commercial real estate market also is frothy. And we have, as you heard from Mac, we actually have pulled back a percent year-over-year and we have constrained it in a couple of lending types, property types, on purpose. And we're a bit cautious in some of our markets, in particular in those asset categories. So, again, we're long-term shareholders. We're locked in. We have this discipline around aggregate moderate-to-low. If we don't like to return risk profile, we're just not going to go-forward with it. We'll look to do other things, hold the capital or asset substitute, whatever we think is more prudent than just follow the parade.
Operator: Thank you. Our next question comes from the line of Erika Najarian with Bank of America. Please proceed with your question.
Erika Penala Najarian - Bank of America Merrill Lynch: Hi. Good morning.
Stephen D. Steinour - Huntington Bancshares, Inc.: Hi, Erika.
Howell D. McCullough III - Huntington Bancshares, Inc.: Hey, Erika.
Erika Penala Najarian - Bank of America Merrill Lynch: Just wanted to ask about the other side of the balance sheet. You've been able to keep core deposits very low through this rate tightening cycle. And I'm wondering as we look into next year, how is competition in your footprint shaping up in terms of pricing competition for retail and SME versus larger or middle market corporate?
Howell D. McCullough III - Huntington Bancshares, Inc.: Yeah. Erika, so we're very, very pleased with what we've been able to accomplish in the – with core deposits in particular from a repricing perspective. I think the slide 7 actually shows some really good trends in terms of what we've done with our core commercial and core consumer deposits. And I think, you just have to go back and think about the strategy that we put in place around fair play and, I think, some of the benefits that we have with our customers around the experience that we deliver, and the number of awards that we've won that I think illustrate the loyalty and satisfaction that our customers have for us. Having said that, we do see a very rational environment in our footprint. We certainly see competitors doing testing of different products and different pricing. And you see pilots or test take place and you see them pull back. So, I would say that what we see is very rational, and we do expect that to continue. Everyone is in good shape from a liquidity perspective. I think the lack of asset growth is also not requiring that excessive price be paid to raise deposits. And I think that we'll just monitor and make sure that we're testing and piloting different products and different pricing opportunities as well, so that we're ready in case something does change, but we see what is happening in our footprint to be very rational.
Erika Penala Najarian - Bank of America Merrill Lynch: Thank you for that. And as a follow-up, I heard you loud and clear, Steve, about commercial real estate concern, and I think a lot of investors share that concern with you. I'm wondering, as we try to benchmark the industry for commercial real estate credit next year, Dan, is it possible for you to share some of your underwriting standards really sort of origination debt service coverage ratio minimums, and at what interest rate you set that debt service coverage ratio to?
Daniel J. Neumeyer - Huntington Bancshares, Inc.: Sure. So, one, our underwriting standards haven't really changed, although, recently we probably have tightened up a little bit in terms of some of the equity requirements going in. but generally, you're going to be looking at a 75% to 80% type LTV. In multifamily, we've actually gone lower in some instances particularly in those markets where we think there may have been over building, but we're looking at a debt-service coverage ratio in the 125 range. We stress those rates at about 6.25%, 30-year amortization. And then on top of that, with the vast majority of our – once we have personal recourse. And so, very – very stable underwriting requirements, that as I said, have either maintained or tightened modestly over the last couple of years.
Stephen D. Steinour - Huntington Bancshares, Inc.: Our core customer base still is less than 300 relationships in commercial real estate to give you a sense of the granularity of it and the consistency of strategy.
Daniel J. Neumeyer - Huntington Bancshares, Inc.: Yeah. And, Erika, I would also add that one thing, this is all built on what we call our Tier 1 developers is the majority of who we're lending to. So, we're looking very closely at their global cash flow, their liquidity, and their net worth because in addition to underwriting the individual properties, we are counting on the fact that they have the wherewithal to support our loans in a downturn.
Erika Penala Najarian - Bank of America Merrill Lynch: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Ken Zerbe with Morgan Stanley. Please proceed with your question.
Ken Zerbe - Morgan Stanley & Co. LLC: Great. Thanks. I guess when you think about loan growth, obviously, you did take your guidance down, and it sounds like commercial is pretty challenging broadly speaking. But when we think about the factors that are driving this sort of low single-digit growth this year, are there any changes or what do you expect to change next year in terms of the same factors? Like, would you expect the commercial environment to get better or auto to accelerate or vice versa? I'm just trying to get a sense of like what changes the longer term growth outlook for the best? Thanks.
Stephen D. Steinour - Huntington Bancshares, Inc.: This has been a very unusual year, I think, for commercial lending. At least in my career, I haven't seen one where you have GDP expansion sort of increasing over the course of the year and commercial loan activity, for an extended period, being flat to down as you look at that HA data. So, we believe that a combination of factors, but principally related to uncertainty around policy issues and timing are having an impact on marginal investment. And so, as we think about the next year and beyond, we're optimistic that these policy issues are going to get addressed, and that will be stimulative on the whole. And we like what we see in terms of the activity and planning in our footprint. There's a lot of investment contemplated. We've never had as much foreign direct inquiry in most of the markets we're in as we're experiencing today. The diversification of the economy here sets up I think a series of opportunities as we think about 2018 and beyond. So, we're bullish in terms of outlook, Ken, and think that once these policy issues get addressed, the clarity will help unlock some of what's been restrained this year.
Ken Zerbe - Morgan Stanley & Co. LLC: Got it. Okay. I will definitely keep my fingers crossed about policy clarity going forward. So, thank you very much.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks.
Howell D. McCullough III - Huntington Bancshares, Inc.: Thanks, Ken.
Operator: Thank you. Our next question comes from the line of John Pancari with Evercore. Please proceed with your question.
John Pancari - Evercore Group LLC: Good morning.
Stephen D. Steinour - Huntington Bancshares, Inc.: Good morning, John.
John Pancari - Evercore Group LLC: On that same topic, given what you just mentioned about the policy reticence that some borrowers may have, how much of this pullback in your loan growth expectation is it all influenced by some softening on the front-end side, on demand? So, is that apprehension of borrowers changing? Is it getting worse and that influence some of your pullback in your growth expectation or is it primarily the things you already flagged in terms of CRE and cap markets and competitive pressures? Thanks.
Stephen D. Steinour - Huntington Bancshares, Inc.: Well, we think much of the cap market activity has occurred so that, we believe, is abating. But we do see while the tax code revisions are pending, the range of deferred activities. If you're going to sell a business, trying to figure out how to (41:35) this year or next, et cetera, for example. So, we consciously pulled back on commercial real estate this year and especially this past quarter. We just did not like the risk return profiles as we were looking out into 2019 and beyond when a number of these loans would be coming out of construction and leasing. So, that was our decision, but there are broader market impacts that are much more policy-related at this point, John.
John Pancari - Evercore Group LLC: Okay. And then, I guess another way to get – to dig there is do you have updated line utilization data for the quarter?
Howell D. McCullough III - Huntington Bancshares, Inc.: Basically flat on the commercial side for the quarter.
John Pancari - Evercore Group LLC: Okay. All right.
Stephen D. Steinour - Huntington Bancshares, Inc.: So, auto is typically at a seasonal low with model change-out. So, we have this every year but, overall, on a flat.
John Pancari - Evercore Group LLC: Okay. Got it. Got it. And then, one last thing also to beat the loan growth dead horse. On 2018, how do you think about the pace of where loan growth could go? Is it going to – if you think of it is in this low 3% to 4% range, is it – should we think about it in terms of GDP or multiple of GDP? How should we think about that?
Stephen D. Steinour - Huntington Bancshares, Inc.: We think of it as a low multiple of GDP. We got consumer going up 7% to 8% year-to-date, middle market up 2% to 3% year-to-date on spots. A lot of the corporate bond activity we think has occurred, so we think it's stabilizing now. Pipeline looks – actually, commercial pipeline looks good in this quarter. So, if we can get the tax policy issue addressed, I think that opens up the spigot to some extent, this deferral we hope will spur incremental activity, almost like a burst of activity, John.
John Pancari - Evercore Group LLC: Okay. Thank you.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thank you.
Howell D. McCullough III - Huntington Bancshares, Inc.: Thanks, John.
Operator: Thank you. Our next question comes from the line of Marty Mosby with Vining-Sparks. Please proceed with your question.
Marty Mosby III - Vining-Sparks IBG L.P.: Thanks.
Stephen D. Steinour - Huntington Bancshares, Inc.: Hi, Marty.
Marty Mosby III - Vining-Sparks IBG L.P.: Hey. Good morning. Slide 8 is – I've told you several times, I don't like the way that that presents the results. When you look at the decline in the net benefit from $73 million to $19 million, that's about a $50 million decline, that when you're just looking at this one slide by itself, but when you roll over and you look at slides 11 and 12, what you're then showing is that the synergies of the deal, the revenue side generates about $50 million and if you take about $100 million of net spillover into next year from what you get on the expense synergies, that $50 million really gets just kind of like a prepayment to the positives that you're getting out of the synergies. So, am I thinking of that right in a sense of netting out those two things when you really get to the bottom-line impact as you go from 2017 into 2018?
Howell D. McCullough III - Huntington Bancshares, Inc.: Yeah, Marty. I think you're absolutely right on that point. We like slide 8 because it does give some visibility into what's happening with the margin in particular. And obviously fighting through some of the noise in the margin is important as we communicate the message, and I think slide 8 has been effective. But I do appreciate, you continue to point out the fact that the synergies are definitely offsetting that impact.
Marty Mosby III - Vining-Sparks IBG L.P.: And the other thing that I was thinking about was, when you show the revenue enhancements, you're leaving out one of the bigger pieces which is, when you actually made the acquisition you weren't really paying for or anticipating that rates were going to go up. And as rates have now started to move higher, there is a benefit of the margin on the FirstMerit deposits was something that you really weren't counting on, which is a revenue enhancement. And I think the end result of that is when you look at your return on tangible common equity target it was 13% to 15%. You're saying you're already going to be at 15% and you kind of roll these net benefits into 2018, I think you're kind of rounding up to around 16% as you look into next year. So, I think some of that delta on the favorable could just be out of the deposits that you're being able to get the profitability from.
Howell D. McCullough III - Huntington Bancshares, Inc.: That's another great point. I think one of the real benefits of the FirstMerit acquisition was the quality of the core deposit base. On the retail side, in particular, but also in the commercial side. And tremendous value creation, if you think about that, that deposit base and where the rate environment is going. So clearly, a big benefit to the value of the transaction, and we probably should talk about that more.
Marty Mosby III - Vining-Sparks IBG L.P.: And just humor one last question, if you think of the credit, your guidance kind of assumes the – kind of just a general deterioration, but there's really nothing in the portfolio that suggest charge-offs in the low 20 should be mid-30s until we kind of get some deterioration. So, is this really just kind of a general over the cycle, we're going to be somewhere in this 35 basis points to 55 basis points? And really if you look at where we're at and that this current environment sustains itself, isn't there an opportunity to remain below that guided range for a period of time?
Daniel J. Neumeyer - Huntington Bancshares, Inc.: Yeah. Marty, this is Dan. I do believe that we will remain below the range. Although, one thing to keep in mind is even if gross charge-offs don't increase materially, the recoveries that we have available to us are shrinking just because we have not had significant charge-offs over the last few years. So, I think that's one component, that again, I think the increase will be modest and gradual. But nonetheless, I don't think it's reasonable to anticipate that we're going to sustain these levels long term.
Marty Mosby III - Vining-Sparks IBG L.P.: Thanks.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Marty.
Howell D. McCullough III - Huntington Bancshares, Inc.: Thanks, Marty.
Operator: Thank you. Our next question comes from the line of Emlen Harmon with JMP Securities. Please proceed with your question.
Emlen Harmon - JMP Securities LLC: Good morning. Steve, could you – hey – Steve, could you talk a little bit about your appetite for M&A with FirstMerit effectively kind of fully integrated here? And what kind of opportunity you would need to see to be interested?
Stephen D. Steinour - Huntington Bancshares, Inc.: Well, let's back up, we completed the expense side of this. But as we have been sharing, we have a lot of revenue synergy, and that is not complete. And there's also the full assimilation, the culture getting the company set, so we're very, very focused. Our first priority is to get that FirstMerit revenue as we go through 2018.
Emlen Harmon - JMP Securities LLC: Okay. Thanks. And then if John kind of beat the dead horse on loan demand, I'm going to maybe kick it a little bit. But you mentioned a few times tax reform as a hang-up on demand. Seems like we've also got just kind of building uncertainty regarding the country status in NAFTA at least as far as the headlines are concerned. I guess, with Michigan and Ohio, two of the bigger exporters to North America, have you guys kind of – are you guys talking to your borrower base at all just in terms of how that's impacting demand for those borrowers and if you thought about just on exposure there of the exporting community?
Stephen D. Steinour - Huntington Bancshares, Inc.: That's a great point. There's clearly an impact in our footprint. There's a sense of optimism that the NAFTA negotiations are going to get to a rational conclusion. So, I would start with that. And I think I mentioned this earlier, auto is going to have its fifth best year, we believe, in history. So, there's a stability on some of the engines here as we think about going forward. And then, the diversification of the economy, just the sheer scale of the economies in our footprint are huge factors that help contribute to our optimism in terms of going forward.
Emlen Harmon - JMP Securities LLC: Great. Thanks. Thanks for taking the questions.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Emlen.
Operator: Thank you. Our next question comes from the line of Steve Moss with FBR Capital Markets. Please proceed with your question.
Kyle Peterson - FBR Capital Markets & Co.: Hey. Good morning, guys. This is actually Kyle Peterson on for Steve today.
Stephen D. Steinour - Huntington Bancshares, Inc.: Hi, Kyle.
Kyle Peterson - FBR Capital Markets & Co.: I wondered if you could touch on the NIM outlook, both kind of the core and the GAAP in the fourth quarter given that it looks like accretion will take a leg down here. I guess are we looking at maybe a stable-ish core NIM, and then kind of GAAP goes down with the – given the accretion or how should we think about that?
Howell D. McCullough III - Huntington Bancshares, Inc.: Yeah. I would say that we're going to continue to see the reported NIM decline because accretion is going to change or decline from here. But I think the core NIM is going to continue to expand even in a flat rate environment assumption that we're making. So, really, fourth quarter will fall into that trend, I believe. And as we move into 2018 even in the unchanged rate scenario, I think we see expansion in the core.
Kyle Peterson - FBR Capital Markets & Co.: Okay. So, I guess to follow up on that, is the core expansion, is that mix shift or are you guys seeing favorable pricing, or kind of what's driving the core NIM expansion in a flat rate environment?
Howell D. McCullough III - Huntington Bancshares, Inc.: Yeah. So, we basically just have asset portfolios being replaced at higher yields as we see runoff and replacement, so we're originating at higher yields relative to where we were a year ago. So, I think that's the primary driver in what we're seeing.
Kyle Peterson - FBR Capital Markets & Co.: Okay. And is that – that's both on the loans and securities or just one or the other?
Howell D. McCullough III - Huntington Bancshares, Inc.: Both categories, loans and securities.
Kyle Peterson - FBR Capital Markets & Co.: All right. Great. Thank you, guys.
Howell D. McCullough III - Huntington Bancshares, Inc.: Thanks.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Kyle.
Operator: Thank you. Our next question comes from the line of David Long with Raymond James. Please proceed with your question.
David J. Long - Raymond James & Associates, Inc.: Good morning, everyone.
Stephen D. Steinour - Huntington Bancshares, Inc.: Good morning, Dave.
David J. Long - Raymond James & Associates, Inc.: Moving to liability side of the balance sheet, looking at deposits, you guys had a very good quarter there on the deposit growth. And I wanted to see if you could talk about any promotions or changes in pricing that may have impacted the growth there, and then given the slowdown in loan expectations, what you'd expect out of that deposit growth going forward.
Howell D. McCullough III - Huntington Bancshares, Inc.: Yeah. Dave, it's Mac. So, I would say nothing really in the way of promotions we did, and I mentioned this in the script. We did look at some pricing on the commercial side in order to grow some of our balances there and retain some balances that we thought was a good tradeoff relative to wholesale funding. So, I would tell you that, on the margin, we probably did increase price on the commercial side in the quarter. But we saw a nice benefit from doing that relative to the cost of wholesale funding. And going forward, I would tell you that I think it's stable and steady in terms of what we've seen, and how we think about the funding from a core perspective on both the consumer and the commercial side going forward. That will depend, of course, on what happens with the Fed and when we see rate increases, if we see rate increases, but as I mentioned earlier, we see our market being very rational from a pricing perspective, and not a lot of pressure on the liquidity side right now.
David J. Long - Raymond James & Associates, Inc.: Excellent. Thanks for the color, Mac. That's all I have.
Howell D. McCullough III - Huntington Bancshares, Inc.: Yeah. Thanks, Dave.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Dave.
Operator: Thank you. Our next question comes from the line of Terry McEvoy with Stephens, Inc. Please proceed with your question.
Terry J. McEvoy - Stephens, Inc.: Thanks. Good morning.
Stephen D. Steinour - Huntington Bancshares, Inc.: Hey, Terry.
Terry J. McEvoy - Stephens, Inc.: Hi. Within the original FirstMerit merger model, you assumed a 3%, call it, core increase in annual operating expenses, and as we think about 2018, is that still a good number to use as it relates to just core growth? And then, could you help me understand the seasonality on the expense line next year? Will there be a bump up in maybe the first half of the year, and then drift lower implying maybe 4Q 2018 would be below that of the earlier quarters of the year?
Howell D. McCullough III - Huntington Bancshares, Inc.: Yeah, Terry. So, we're working through 2018 right now, and I think the way we think about building a budget we start with an unchanged rate environment, and we get the revenue side of the equation right based upon where we see loan growth coming in, and obviously, some of the investments we've made in FirstMerit and fee income categories. And then, we determine what we can spend from an expense perspective based on the investments that we want to make. And we do continue to make the right investments in the business. And of course, we go the normal cost associated with our colleagues in infrastructure and the whole nine yards. So we did assume 3% in the FirstMerit merger model. That's not a bad number to think about on a long-term basis. As I mentioned earlier, we do get additional benefits from the cost take-outs on a full-year basis in 2018. So that should be considered as well. On a seasonality basis, we typically see higher expenses in the second quarter and that has to do with a couple of things. We have the Merit change for our colleagues in the second quarter. We also have some onetime impacts from compensation, equity compensation hitting in the second quarter as well. And then, typically, the first quarter is a little bit lower than the third and the fourth quarters. So, it's, I would say, lower in the first, higher in the second, and then, from a seasonality perspective, probably drifting down in the third and fourth, this is the way to think about it.
Terry J. McEvoy - Stephens, Inc.: Great. Thank you. And then just one question – follow-up question. The 38 branches and drive-through locations that were consolidated in the third quarter. Was that originally part of the FirstMerit transaction in the $255 million of cost saves. And I guess the reason I ask is, I didn't see those expenses taken out in the press release in terms of call them a merger and acquisition-related expense.
Howell D. McCullough III - Huntington Bancshares, Inc.: Yeah, Terry. Those were not a part of the original $255 million. When we announced this, we did disclose that we're reinvesting a good portion of the savings there back into digital and our colleagues. So, I wouldn't expect that you would see a material impact in the run rate from that transaction.
Terry J. McEvoy - Stephens, Inc.: Great. Thanks again.
Howell D. McCullough III - Huntington Bancshares, Inc.: Okay. Thank you.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Terry.
Operator: Thank you. Our next question comes from the line of Kevin Barker with Piper Jaffray. Please proceed with your question.
Kevin J. Barker - Piper Jaffray & Co.: Thanks. You brought up the net charge-off guidance, 1 basis point, not a big deal, but you also saw your classified loans to move higher a bit here. Could you just talk about the overall environment for credit and your expectations into 4Q and then into 2018?
Daniel J. Neumeyer - Huntington Bancshares, Inc.: Yes. So, I think – this is Dan. I think expectations are fairly stable. We've seen, as you noted, criticized did go up in the quarter, but that didn't incorporate the SNC (57:48) results from the most recent review. We continue to feel we have a very proactive and conservative risk rating. And I think that's underscored by the fact that you haven't seen the migration into nonaccruals, and then ultimately into charge-offs. So, while the criticized loans were up, still feel that the portfolio is in really good shape, although we're at historic lows in many of our metrics. And I think that, as I mentioned earlier with less recoveries on the charge-off front, that is – we're going to see a mild and gradual increase there. But, overall, we feel very good about the portfolio and look for stability in the quarters to come.
Kevin J. Barker - Piper Jaffray & Co.: Okay. And then, a follow-up on some of the revenue growth numbers or at least in the loan growth that questions have been asked. In regards to your ability to continue to generate operating leverage going into 2018, do you still require some type of loan growth in the mid-single digits or can you continue to generate that operating leverage given the expense saving programs that you have in place even if loan growth comes in at the lower end of your expectations?
Howell D. McCullough III - Huntington Bancshares, Inc.: Yeah. Kevin, I believe we can continue to generate positive operating leverage. And in particular, in 2018, you have to consider the revenue synergies that we're getting out of FirstMerit. Investments we've made in the fee income businesses in particular on the Huntington side there that are taking hold. And we do continue to have good consumer loan growth of very high quality and attractive growth rates. So, feel confident that we'll see positive operating leverage.
Kevin J. Barker - Piper Jaffray & Co.: Thank you.
Howell D. McCullough III - Huntington Bancshares, Inc.: Thank you.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Kevin.
Operator: Thank you. Our final question comes from the line of Peter Winter with Wedbush Securities. Please proceed with your question.
Peter J. Winter - Wedbush Securities, Inc.: Good morning.
Stephen D. Steinour - Huntington Bancshares, Inc.: Good morning, Peter.
Peter J. Winter - Wedbush Securities, Inc.: Just given the comments that you're a little bit more cautious on commercial real estate and you've had good success expanding the indirect auto into other markets. Is that something that you would – you think about ramping up that expansion of the indirect auto going to newer markets?
Stephen D. Steinour - Huntington Bancshares, Inc.: Peter, it's Steve Steinour. We like the footprint presence we have. We do not anticipate expanding into any new markets at this time.
Peter J. Winter - Wedbush Securities, Inc.: Okay. And then, just very quickly, follow-up. Can you talk about how it's going in the newer markets of Chicago and Wisconsin, and are you seeing more potential revenue opportunities there?
Stephen D. Steinour - Huntington Bancshares, Inc.: Well, we do see growth and revenue opportunities. We've had a very good start to small business lending, SBA lending, in particular, we're number two in Chicago, on units and dollars, and number two and three in Wisconsin on units and dollars, and that's from a zero start. So that has ramped up quickly. Our residential mortgage lending is ramping up. We'll be adding to the team, including in the fourth quarter on resi mortgage. We like what we have seen from the commercial teams. We had some great talent joining us from FirstMerit, so feel really pleased with how that team is performing, the commercial teams, how they're performing. And then the branches themselves, the consumer businesses, are doing well and holding deposits and growing our customer base. So, pleased with the positions we've inherited in both states.
Peter J. Winter - Wedbush Securities, Inc.: Great. Thank you.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Peter.
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. I would like to turn the call back over to Steve Steinour for any closing remarks.
Stephen D. Steinour - Huntington Bancshares, Inc.: So, we produced solid results in the third quarter and I'm confident we're going to finish the year strong. Our strategies are working and the execution of our goals continue to drive positive results. We expect to continue to gain market share and grow share of wallet. Our top priorities are growing our core businesses and realizing the revenue synergies from FirstMerit. The integration of FirstMerit is substantially complete with the announced expense reductions fully implemented. We expect the fourth quarter run rate to demonstrate these benefits, and we expect to achieve all of our long-term financial goals in the fourth quarter of 2017 and into 2018. Finally, I always like to include a reminder that there's high level of alignment between the board, management and our colleagues, and our shareholders. The board and our colleagues are collectively one of the largest shareholders of Huntington. We have hold the retirement requirements on certain shares, so we will continue to proactively manage risks and volatility and are appropriately focused on driving sustained long-term performance. Thank you all for your interest in Huntington. We appreciate you joining us today. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.